Operator: Greetings, and welcome to the Federal Signal Corporation fourth quarter earnings call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. It is now my pleasure to introduce Felix M. Boeschen, Vice President of Corporate Strategy and Investor Relations. Please go ahead.
Felix M. Boeschen: Good morning, and welcome to Federal Signal Corporation's fourth quarter 2025 conference call. I am Felix M. Boeschen, the company's Vice President of Corporate Strategy and Investor Relations. Also with me on the call today are Jennifer L. Sherman, our President and Chief Executive Officer, and Ian A. Hudson, our Chief Financial Officer. We will refer to some presentation slides today as well as to the earnings release, which we issued this morning. The slides can be followed online by going to our website, investors.federalsignal.com, clicking on the investor call icon, and signing in to the webcast. We have also posted the slide presentation and the earnings release under the Investor tab on our website. Before I turn the call over to Ian, I would like to remind you some of our comments made today may contain forward-looking statements that are subject to the safe harbor language found in today's news release and in Federal Signal Corporation's filings with the Securities and Exchange Commission. These documents are available on our website. Our presentation also contains some measures that are not in accordance with U.S. generally accepted accounting principles. In our earnings release and filings, we reconcile these non-GAAP measures to GAAP measures. In addition, we will file our Form 10-K later today. Ian will start today with more detail on our fourth quarter and full year financial results. Jennifer will then provide her perspective on our performance, current market conditions, our multiyear growth initiatives, and go over our outlook for 2026 before we open the line for any questions. With that, I would now like to turn the call over to Ian.
Ian A. Hudson: Thank you, Felix. Our financial results for the fourth quarter and full year of 2025 are provided in today's earnings report. Before I talk about the fourth quarter, let me highlight some of our full year consolidated results for 2025. Net sales for the year were $2,180,000,000, a record high for the company and an increase of $319,000,000, or 17%, compared to last year. Organic net sales growth for the year was $205,000,000, or 11%. Operating income for the year was $340,900,000, an increase of $59,500,000, or 21%, from last year. Net income for the year was $246,600,000, an increase of $30,300,000, or 14%, from last year. Adjusted EBITDA for the year was $438,900,000, up $88,300,000, or 25%, compared to last year. That translates to a margin of 20.1% this year, up 130 basis points from last year. GAAP diluted EPS for the year equated to $4.10 per share, up $0.51 per share, or 15%, from last year. On an adjusted basis, we reported record full year earnings of $4.23 per share, up $0.89 per share, or 27% from last year. Orders for the year were $2,220,000,000, an increase of $374,000,000, or 20%, from last year. Backlog at the end of the year was $1,040,000,000, an increase of $45,000,000, or 5%, from last year. For the rest of my comments, I will focus mostly on comparisons of 2025 to 2024. Consolidated net sales for the quarter were $597,000,000, an increase of 27% compared to last year. Organic net sales growth for the quarter was $85,000,000, or 18%. Consolidated operating income in Q4 this year was $83,500,000, up $13,400,000, or 19%, compared to last year. Net income for the quarter was $60,800,000, an increase of $10,800,000, or 22%, from last year. Consolidated adjusted EBITDA for the quarter was $119,400,000, up $30,100,000, or 34%, compared to last year. That translates to a margin of 20%, an increase of 110 basis points from last year. GAAP diluted EPS for the quarter was $0.99 per share, up $0.18 per share, or 22%, from last year. On an adjusted basis, EPS for Q4 this year was $1.10 per share, an increase of $0.29 per share, or 36%, compared to last year. Orders for the quarter were $647,000,000, up $201,000,000, or 45%, from last year. Orders in Q4 this year included $132,000,000 of acquired backlog. In terms of our fourth quarter group results, ESG's net sales were $504,000,000, an increase of $108,000,000, or 27%, compared to last year. ESG's adjusted EBITDA for the quarter was $109,000,000, up $26,100,000, or 31%, compared to last year. That translates to an adjusted EBITDA margin of 21.6% in Q4 this year, up 70 basis points from Q4 last year. ESG reported total orders of $566,000,000 in Q4 this year, an increase of $201,000,000, or 55%, from last year. SSG's fourth quarter sales were $93,000,000, up $17,000,000, or 23%, compared to last year. SSG's adjusted EBITDA for the quarter was $23,400,000, up $7,000,000, or 43%, from last year. SSG's adjusted EBITDA margin for the quarter was 25.2%, up 360 basis points from last year. SSG's orders for the quarter were generally in line with last year at approximately $82,000,000. Corporate operating expenses in Q4 this year were $26,500,000, compared to $10,500,000 last year, with the increase primarily due to a $13,000,000 increase in acquisition and integration-related expenses. Turning now to the consolidated statement of operations, the increase in net sales was largely driven by a $36,700,000 improvement in gross profit. Consolidated gross margin for the quarter was 28.4%, up 30 basis points compared to last year. As a percentage of net sales, our selling, engineering, general, and administrative expenses for the quarter were down 110 basis points from Q4 last year. During the fourth quarter of this year, we recognized $13,300,000 of acquisition-related expenses, up from $300,000 in Q4 last year. The increase included an aggregate expense of $6,800,000 to increase the fair value of contingent consideration associated with the acquisitions of Hog and Standard, as well as expenses incurred in connection with the acquisition of New Way. Other items affecting the quarterly results included a $1,300,000 increase in amortization expense, a $1,700,000 increase in interest expense, a $200,000 reduction in other expense, and the nonrecurrence of a $3,800,000 pretax non-cash pension settlement charge recognized in the prior-year quarter. Income tax expense for the quarter was $17,800,000, an increase of $4,900,000 from last year, with the year-over-year change largely due to higher pretax income levels and the recognition of fewer discrete tax benefits in the current-year quarter compared to the prior year. Our GAAP effective tax rate for full year 2025 was 24%, including discrete tax benefits. For 2026, we currently expect a tax rate of approximately 25%, excluding any discrete tax benefits. On an overall GAAP basis, we therefore earned $0.99 per diluted share in Q4 this year, compared with $0.81 per share in Q4 last year. To facilitate comparison of GAAP earnings per share for unusual items recorded in the current or prior periods, in the current-year quarter, we made adjustments to GAAP earnings per share to exclude acquisition and integration-related expenses, debt settlement charges, and purchase accounting expense effects. In the prior-year quarter, we also excluded the pension settlement charge that I just noted. On this basis, our adjusted earnings in Q4 this year were $1.16 per share, compared with $0.87 per share in Q4 last year. Looking now at cash flow, we generated $97,000,000 of cash from operations during the quarter, an increase of $7,000,000, or 7%, from Q4 last year. That brings our full year operating cash generation to $255,000,000, an increase of $23,000,000, or 10%, compared to last year. Early in the fourth quarter, we executed a new five-year credit facility, replacing the $800,000,000 credit facility that was previously in place. During the fourth quarter, we completed the acquisition of New Way for an initial payment of approximately $413,000,000, and in early January, we completed the acquisition of MEGA for an initial payment of approximately $45,000,000. Our current net debt leverage ratio remains at a comfortable level even after factoring in recent acquisitions. We ended the quarter with $501,000,000 of net debt and availability under our credit facility of $925,000,000. With the increased borrowing capacity under our new credit facility and our improved cash generation, we have significant flexibility to invest in organic growth initiatives, pursue additional strategic acquisitions like MEGA, pay down debt, and return cash to stockholders through dividends and opportunistic share repurchases. On that note, we paid dividends of $8,500,000 during the quarter, reflecting a dividend of $0.14 per share. That concludes my comments, and I would now like to turn the call over to Jennifer.
Jennifer L. Sherman: Thank you, Ian. We are proud of our record-setting fourth quarter performance, which included new quarterly records across net sales, adjusted EPS, and adjusted EBITDA, thanks to the outstanding results from both of our operating groups. Within our Environmental Solutions Group, we delivered 27% year-over-year net sales growth, a 31% increase in adjusted EBITDA, and a 70 basis point improvement in adjusted EBITDA margin. Contributions from acquisitions, higher production levels, and continued price realization were all meaningful year-over-year contributors. Given continued strong order levels and an extensive pipeline of internal market share expansion initiatives, we remain focused on building more trucks across our family of specialty vehicle businesses and reducing lead times for sewer cleaners and four-wheel sweepers. These efforts to increase throughput across our manufacturing sites contributed to double-digit percent increases in net sales across several ESG product verticals, including sewer cleaners, safe-digging trucks, street sweepers, metal extraction support equipment, and road marking and line removal trucks. From a capacity perspective, the combination of large-scale capacity expansions that we completed between 2019 and 2022, good access to labor, and continued investments in several productivity-enhancing projects position us well to profitably absorb more volume into our existing footprint. As in recent years, we expect approximately half of our annual CapEx expenditures in 2026 focused on various growth initiatives, with the other half focused on maintenance investments. Shifting to aftermarkets, where demand remains strong, aided by contributions from acquisitions. For the quarter, aftermarket revenue increased 20% year over year, primarily driven by higher demand for aftermarket parts, increased service activity, and rental income growth. We are identifying new attractive aftermarket parts growth opportunities across the enterprise and are highly energized by the long-term prospects of our internal build-more-parts initiative, whereby we are vertically integrating certain parts production. Over a multiyear timeline, this initiative will allow our teams to drive increased recurring parts revenue streams while expanding margins. Additionally, our aftermarket teams are working diligently to integrate our most recent acquisitions. Shifting to our Safety and Security Systems Group, the team delivered another excellent quarter with 23% top-line growth, a 43% increase in adjusted EBITDA, and a 360 basis point improvement in adjusted EBITDA margin. This improvement was primarily driven by a combination of volume increases for public safety equipment in the U.S. and in Europe, proactive price-cost management, and realization of certain cost savings. Our SSG teams are laser-focused on new product development initiatives while surgically targeting underserved customer cohorts and regions, a strategy that is yielding share gains. Additionally, we expect the recent addition of a fourth printed circuit board manufacturing line at our University Park facility to drive additional efficiency improvements in 2026. Lastly, we had another strong year of cash, with $255,000,000 of cash generated from operations. For the full year, our cash conversion was 103%, slightly ahead of our annual target of 100%. Before I shift to current market conditions, I would like to spend a moment to update you on our refuse truck distribution strategy in Canada now that we have completed the acquisition of New Way. As many of you know, we have extensive internal experience in the refuse market, as we have been distributing third-party refuse trucks through our Joe Johnson Equipment sales channel for more than 20 years, primarily in Canada. This existing internal refuse service infrastructure and sales expertise was an important synergy consideration as part of the New Way transaction. Prior to the acquisition, New Way had not penetrated the Canadian market at scale, creating unique market share growth opportunities for us starting in 2026. As such, beginning in 2025, we stopped taking orders for third-party refuse trucks and instead began selling New Way through our Joe Johnson Equipment network in Canada. Given these dynamics, we have provided additional disclosures in this morning's earnings presentation outlining our historical third-party refuse orders and sales levels to facilitate more appropriate comparisons. We will continue to provide this reconciliation as we move through 2026. From a financial perspective, we expect to deliver the remaining $80,000,000 of third-party refuse backlog over the next four quarters and eventually wind that backlog down to zero. As we wind down the sale of these lower-margin third-party refuse trucks and increase New Way sales in Canada, we expect to realize margin tailwinds in 2027 and 2028. Shifting to current market conditions, on an underlying basis, excluding the impact of acquired backlog and third-party refuse orders, Q4 orders increased $64,000,000, or 14%, year over year, with improved demand across both our publicly funded and industrial product lines. Within product lines, we experienced particular strength in sewer cleaners, safe-digging, and vacuum trucks, fueled by continued demand for infrastructure and water projects in North America and rising safe-digging adoption within the U.S. Similarly, we are seeing especially constructive demand environments for our metal extraction support equipment and road marking and line removal products. Lastly, I wanted to provide some context around our backlog, which stood at $1,040,000,000 at the end of the fourth quarter, up approximately 5% year over year. When I first became CEO, I put in place a multiyear growth strategy aimed at building a best-in-class specialty vehicle and industrial equipment growth company while decreasing the cyclicality of our earnings stream. As we have executed this strategy both organically and through M&A, the composition of our product portfolio has changed over time. Consequently, our business has become less backlog-intensive compared to historical periods. In fact, many of our least cyclical and fastest-growing product lines, such as aftermarket parts, are not really backlog-relevant at all. To illustrate this impact, in 2025, net sales of our backlog-intensive products—which include vacuum trucks, street sweepers, metal extraction support equipment, refuse trucks, and road marking and line removal trucks—comprised approximately 45% of our sales compared to more than 50% in 2015. While we internally continue to view backlog as an important metric and our current backlog provides excellent visibility for certain product lines throughout the next six to twelve months, the overall importance of backlog relative to enterprise-wide forward sales has decreased over time as we have decreased the cyclicality of the business. As a reminder, consistent with our long-term growth strategy, through cycles, we target annual low double-digit top-line growth split roughly evenly between inorganic and organic growth. Looking ahead to 2026, we are laser-focused on driving three critical multiyear growth initiatives forward that will benefit the company for years to come: first, the successful integration of our recently acquired businesses; second, new product development; and third, continuing to strengthen the power of our platform. Let me share a couple of highlights. First, our teams are moving full steam ahead with the integration of New Way. As a reminder, we remain committed to achieving our targeted $15,000,000 to $20,000,000 in annual synergies by 2028, with approximately half of those synergies tied to cost savings and the other half tied to various sales synergies, including the increased penetration of the Canadian market, dealer development, aftermarket parts optimization, sales channel alignment, and new product development. Consistent with the outlook we provided in our September acquisition announcement call, we are expecting the acquisition of New Way to be approximately adjusted EPS neutral in 2026, inclusive of a preliminary estimate of intangible asset amortization expense. Second, we were pleased to close the acquisition of MEGA Equipment last month. MEGA is a manufacturer of parts and equipment for the metal extraction support equipment sector. We have been following them for a number of years, having identified the company as a highly complementary asset to our Ground Force and TowHaul businesses. We believe MEGA can accelerate several of our strategic growth initiatives within this space. As an example, MEGA will substantially increase our reach into certain underpenetrated geographic regions such as South America. As we optimize our combined sales channel between Ground Force, TowHaul, and MEGA, we see important cross-selling opportunities, similar to the playbook we have been deploying since 2022. We also see incremental opportunities to accelerate MEGA's aftermarket parts business, which has historically represented about 25% of MEGA's net sales, and we have identified several operational benefits, including production savings and freight cost opportunities. From a financial perspective, MEGA generated approximately $40,000,000 in net sales over the last twelve months, and we expect the acquisition to be modestly accretive to cash flow and EPS in 2026. Third, we continue to invest in our internal centers of excellence to widen our competitive advantage within the niche markets that we operate. In 2026, we see specific opportunities to drive several sales, new product development, and dealer optimization initiatives forward across our vacuum trucks, street sweepers, multipurpose maintenance vehicle, refuse collection, road marking, and safety and security systems verticals. As part of this strategy, we acquired certain assets and territory rights in Texas in the fourth quarter, which we think will allow us to increase market share for several key product lines. Turning now to our outlook. With the ongoing execution against our strategic initiatives and the current demand backdrop, we are confident that we will have another record year in 2026. For the full year, we are anticipating net sales of between $2,550,000,000 and $2,650,000,000 and adjusted EPS between $4.50 and $4.80 per share, notwithstanding an aggregate $0.16 per share headwind from higher acquisition-related intangible asset amortization expense and the normalization of our tax rate. At the midpoint, this outlook would represent another year of double-digit growth and the highest adjusted EPS level in the company's history. In line with our typical seasonal patterns, we expect Q1 net sales and earnings to be lower than subsequent quarters due to less aftermarket revenue capture. Lastly, we expect CapEx to be between $45,000,000 and $55,000,000 for the year, which includes productivity-enhancing projects. In closing, I want to express my profound thanks to all of our employees, suppliers, dealer partners, customers, and stakeholders for a tremendous 2025. With that, we are ready to open the lines for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. If you would like to ask a question, please press star one on your telephone keypad. For participants using speaker equipment, it may be necessary to pick up the handset before pressing the star keys. One moment while we poll for questions. Our first question is from Timothy W. Thein with Raymond James.
Timothy W. Thein: Hi, good morning. Can you hear me okay?
Jennifer L. Sherman: Yes. Good morning, Tim.
Timothy W. Thein: First question, just on the call at the midpoint of $2.6 billion in revenues. Apologize if I missed this. Is there a way to parse out—I am not sure if you updated what you are expecting in terms of New Way and MEGA and other acquisition impacts. Just trying to parse out organic versus relative to that $2.6 billion number?
Ian A. Hudson: Yes, sure, Tim. I will take this. So, if you think of the guide—the revenue guide—obviously, in the aggregate, 17% to 22% year-over-year growth, that is about 5% to 9% as organic, and the rest would be contributions from New Way and MEGA. So that is how it breaks down. And then the midpoint—that is squarely in line with what we have delivered really since 2015. Our organic growth has been a CAGR of about 7%, so that is squarely in line with the guide.
Timothy W. Thein: Yep. Okay. Excellent. And then just on the order trends—and I am sure you have far from perfect visibility as to every order placed and what the motivation is behind it—but I am just curious, maybe what feedback, if any, you hear from dealers in terms of or maybe how you are seeing that order board fill out, meaning are there any signs of maybe customers wanting to get ahead of a prebuy, meaning more of those orders may be coming later in the year, or just curious as to what, if any, impact you think that is having in terms of order activity. Thank you.
Jennifer L. Sherman: Yes, I will start with the prebuy discussion. There has been a lot of discussion around this. We have not baked any meaningful prebuy into our guidance. We are going to continue to monitor it, and we will be prepared to respond to it. The other thing I would add there is publicly funded customers do not materially engage in prebuying, so with respect to that part of the business, we do not think it would be a significant driver. Where we would see traction would be on those non-publicly funded customers.
Timothy W. Thein: Understood. Thank you.
Operator: Our next question is from Steve Barger with KeyBanc Capital Markets.
Steve Barger: Hey, good morning. Thanks.
Jennifer L. Sherman: Morning, Steve.
Steve Barger: For the 5% to 9% organic for the consolidated guide, is that similar—got it. And thanks for the reminder on how the mix of backlog-dependent business is changing. So maybe a two-parter. First, is it safe to say that you expect book-to-bill above one for the business units that still depend on backlog for forward visibility?
Ian A. Hudson: So, a couple of comments there. As we previously talked about, our lead times are still extended for sewer cleaners and four-wheel street sweepers. So we have been focused on build more trucks. I am pleased to report that we made some really good progress during Q4. If you look at unit production combined at both Elgin and Vactor, it was up versus 2024, and up 13% for the full year. So we were pleased with that progress. For those particular businesses, we are very focused on getting those lead times in that six- to eight-month range. We provided some additional information in the slides today regarding the impact of the $80,000,000 third-party refuse trucks. We will not be taking orders for third-party refuse trucks in 2026, and we will be delivering those throughout the year. So we tried to separate that out for everybody so they understand the impact that will have. We will be taking orders for New Way, but it will take us some time to build up to those particular rates over a multiyear period. So, outside of those particular things, we would expect over a twelve-month period that book-to-bill would be around 1.0, a little bit better. But we wanted to call out those two particular issues as we move forward.
Steve Barger: Yes, that is great detail. Thank you. And then the second part, just a clarification. Do you book-and-ship orders within any given quarter—does book-and-ship business, I should say, in a given quarter get reported in orders? And how do we think about rental and used equipment, and how that flows through, just for clarification?
Ian A. Hudson: Yes, the short answer, Steve, is yes. They do get reported in both orders and sales within the quarter. And we typically do not have much backlog for rentals, if any, because typically you will receive the request to rent and fulfill it quickly, so that is probably an in-and-out within the quarter. So not a whole lot of backlog in the rental business.
Steve Barger: Yes, but rental would still show in orders, or is that just kind of a—
Ian A. Hudson: Correct.
Steve Barger: Okay. Got it. Yes. Thank you.
Operator: Our next question is from Ross Sparenblek with William Blair.
Jennifer L. Sherman: Good morning, Ross.
Ross Sparenblek: Nice quarter here. Maybe just starting with a housekeeping item. Can you help parse out the $132,000,000 inorganic contribution to orders in the quarter? I understand some is backlog; some is going to be incremental orders that were secured once you owned the asset.
Ian A. Hudson: Yes, Ross. That is just the backlog that we acquired on the date of the acquisition.
Ross Sparenblek: Okay. Can you give us a sense of what the inorganic order flow looked like to try to parse out the organic orders for the year?
Ian A. Hudson: Yes. I mean, the difference was not really material from what we have reported. If you strip out the acquired backlog, that delta was not material.
Ross Sparenblek: Okay. I mean, how should I think about that, though, since you guys did start stocking inventory in Canada for New Way, and presumably the rest of the United States?
Ian A. Hudson: We did not do anything meaningful in the one month that we owned them.
Ross Sparenblek: Okay. Well, just based on early discussions, do you get the sense that you are going to have a strong adoption rate with existing dealers that might be selling other third-party refuse trucks?
Ian A. Hudson: You know, right now, New Way has a number of strong dealers, and we are working with them. And the JJE sales arm—we have hired a number of people. We are leveraging the existing infrastructure that is in place. We are training them on the New Way equipment. So they are still in early stages. We are excited about some of the opportunities that are out there. And then in certain areas, we plan on strengthening that dealer network through either the JJE team or other additions to the network.
Ross Sparenblek: Okay. So, I mean, probably first quarter, though? Like, timeline on when we should start seeing a more meaningful contribution? It just seems a little odd that you would let the LaBrie phase out. I guess you do have a backlog there. We should not expect until the end of the year for the overlap of replacing LaBrie with New Way inventory. Correct?
Ian A. Hudson: Yes, we are taking orders since closing, and New Way has a number of strong dealers in place. There are a number of opportunities, and we are continuing to take orders. And our view on New Way's contribution to the 2026 earnings has not changed. Including the amortization, we expect it to be neutral.
Ross Sparenblek: Okay. Alright. Well, thanks again, guys. I will hop back in queue.
Ian A. Hudson: Thank you.
Operator: Our next question is from Walter Scott Liptak with Seaport.
Walter Scott Liptak: Hi. Thanks. Good morning. So I want to ask—I did not catch it—Jennifer, in your remarks. You talked about the first quarter. I wonder if you could talk a little bit about what you are expecting seasonally and from production schedules so we can get our modeling right?
Ian A. Hudson: Sure. We expect, in terms of earnings, the cadence to be similar to the past in terms of 19% to 20%. With respect to orders, there could be—this year, obviously, New Way in part of first quarter, Hog, and MEGA will be new—so there could be some change to the seasonality of orders. But in general, what I said in my prepared remarks is we would expect the cadence of earnings to be similar to the past.
Walter Scott Liptak: Okay. Great. And I wanted to ask you about New Way and just the cost synergies now that you have had a chance to do a full financial review and look at the operations. Are you going to be able to do more with the cost synergies? And I wonder about 80/20—if that is something that you give them time to integrate first and then start 80/20, or do you start doing that right away with the New Way business strategies?
Ian A. Hudson: Yes. So, we identified the $15,000,000 to $20,000,000 by 2028. That is about half cost and half revenue synergies. We have various teams that have been in place since we announced the acquisition in September that are working on those cost synergies and revenue synergies. 80/20 and operational optimization is absolutely a critical synergy. We have transferred one of our best 80/20 people. Our facility—the general manager of that facility—is now working directly with the New Way team on 80/20 opportunities.
Walter Scott Liptak: Okay. Great. Thanks for that. And just the last one for me, I was curious about the University Park—the fourth PCB line that went in. You guys have been really successful with vertically integrating, and I wonder if this one is for demand that you already have, or is this room to grow? Why did you have to add a fourth PCB line?
Ian A. Hudson: There are a couple drivers. First of all, the team did a super job, and we installed that line—we are actually a little bit ahead of schedule—in Q4. We look at it as driving a couple things: continued growth, it really accelerates new product development, and it allows us to attract customer needs, particularly within both our police and our signaling businesses. So, the short answer is accelerating new product development—the team is a star in that particular area—and, number two, it facilitates additional growth opportunities.
Walter Scott Liptak: Okay. Great. Okay. Thank you.
Ian A. Hudson: Thank you.
Operator: Our next question is from Michael Shlisky with D.A. Davidson.
Jennifer L. Sherman: Good morning, Mike.
Michael Shlisky: Good morning. Thanks for taking my questions. Wanted to start off asking about MEGA and about New Way. Can you share first how 2025 fared within their own four walls as far as organic growth in those businesses? Were those both growth businesses in 2025? And do you expect them, organically, to be for themselves growth businesses in 2026?
Ian A. Hudson: Yes. I think with respect to MEGA, we are obviously very excited about the combination of MEGA with the Ground Force and TowHaul businesses. In Jennifer's remarks, she commented on how MEGA brings some things to the table that we did not necessarily have before in terms of geographic expansion. So MEGA has had some nice organic growth in 2025. We are expecting that to continue as we go into 2026. They had revenues of about $40,000,000 in 2025, and as we go into 2026, we are expecting that to grow a little bit. As it relates to New Way, they were in the middle of a sale process during 2025, so we did not necessarily have audited financials, but the last audited financials that we had, they did $36,000,000 of EBITDA and about $250,000,000 of sales in 2024. As we talked about in September, we are expecting them to be slightly lower in 2026 just because there is some normalization of trends within that industry. So that is what we have implied in our guide for 2026.
Michael Shlisky: Got it. Thank you so much. And then your comment earlier about expanding a little bit into South America was also very interesting. Was that just a comment about Ground Force and TowHaul, or are there other lines of business that you think could actually work as well in South America? Just any comments on local sourcing, whether you have to have engine changeover to make that happen. Because there are often some rules around locally sourced content when you try to get into South America.
Ian A. Hudson: Yes. So my comments were focused on MEGA and TowHaul/Ground Force. We have partners that we work with in South America. MEGA has a very strong brand, and they manufacture tanks and water trucks on locally sourced chassis where needed. With respect to the chassis for TowHaul, we export, and for other Ground Force and TowHaul products, given the strong brand recognition of MEGA, the teams are excited about the synergies for both those other products.
Michael Shlisky: Great. Just one last one for me. You had a busy 2025 for M&A. Just a sense as to the pipeline you think for 2026 and what areas you are looking to grow through inorganic means ahead here?
Ian A. Hudson: Yes. Our pipeline continues to be full. We are very focused on identifying companies, purchasing, integrating, delevering, and then repeating. With that being said, different teams work on different opportunities. We have mentioned previously that our SSG team is looking at a number of opportunities right now. We would expect that to continue. There are some other opportunities we are looking at with respect to specialty vehicles that involve different teams than the refuse team or the mineral extraction team. M&A over the long run will continue to play a critical part in our growth, but we will meter according to bandwidth.
Michael Shlisky: Okay. Outstanding. I will pass it along. Thank you.
Operator: Our next question is from Christopher Paul Moore with CJS.
Christopher Paul Moore: Good morning. Great quarter as always. You guys were obviously ahead of the curve early in COVID, expanding capacity, and certainly it depends on mix. But just trying to get a sense of roughly how much annual revenue Federal Signal Corporation can currently handle with the existing infrastructure.
Ian A. Hudson: Yes. So we are currently running at about 70%. I would highlight that we added some additional capacity with New Way and MEGA, particularly New Way. We are excited about that capacity with some organic growth initiatives that we are incubating right now that we expect will have multiyear benefits into 2027 and 2028. I will say what I say all the time: we are continuously tweaking our capacity at various facilities, where we might do something that is less than $5,000,000 type expansion. The teams have done a super job in terms of 80/20, which—one of the many benefits of 80/20—is freeing up additional capacity. We have been able to add some additional capacity. We are leveraging some of the opportunities in New Way. I can give a great example in our dump truck body business. We had excess capacity in Pennsylvania. We are now producing dump trucks in a particular facility there. I think we are in pretty good shape right now as we sit here to support our growth initiatives going forward.
Christopher Paul Moore: Got it. Helpful. Maybe just one on New Way. So you have talked about the New Way acquisition being neutral to EPS in 2026, potentially adding, I do not know, $0.40 to $0.45 EPS in 2028. I am assuming, based on prior conversations and prior comments, that that would be pretty back-end loaded for 2028. Is that the way we should be looking at that and also the margin progression from EBITDA margins from 14% to 15% to the 20% range?
Ian A. Hudson: Yes. I think we talked about the $15,000,000 to $20,000,000 of synergies by 2028, kind of evenly split between cost and revenue synergies. We would expect those cost synergies to be more evenly split as we move through the three-year period, with the revenue synergies to be more back-end loaded. They take some time. If you think about that particular team, a good example is we are very focused on new product development. We have a number of products in the works, and it will take some time to get traction, for example, on those particular initiatives.
Christopher Paul Moore: Got it. That makes sense. And just any thoughts on the current tariff discussions?
Ian A. Hudson: Yes. I think that we are fortunate because, as we talked about last year, we are in country for country, so they had a nominal impact. USMCA is important to us, particularly given the importance of our Canadian businesses. But we are not baking any meaningful impact into the guidance that we provided earlier today.
Christopher Paul Moore: Fair enough. I will leave it there. Thanks, guys.
Jennifer L. Sherman: Thank you, Chris.
Operator: Our next question is from Gregory John Burns with Sidoti & Company.
Jennifer L. Sherman: Good morning, Greg.
Gregory John Burns: Good morning. The adjusted pro forma order number of $64,000,000—how much of that is organic, and what is the contribution from acquisitions in that adjusted number?
Ian A. Hudson: Yes. I mean, I think what we have done, Greg, is we have stripped out the acquired backlog at the time of the acquisition. So that is the 14% year-over-year growth from Q4. The vast majority of that is organic.
Gregory John Burns: Okay. Perfect. And then in your municipal, publicly funded markets, I know there was a lot of federal money coming post-pandemic into that market. I assume a lot of that has been allocated and spent. So is there any concern that we might see a slowdown in those end markets?
Ian A. Hudson: Yes. I will start with—as we have talked about before—we did not see any meaningful contributions in 2024 or in 2025 from those pandemic programs. Infrastructure projects are still ongoing. We expect those to be ongoing for several years. Again, within that publicly funded revenue bucket, water taxes are an important part of that. That is our largest single product line, which supports purchases of sewer cleaners and other types of municipal vacuum trucks. We find that to be a growing revenue stream. Our general municipal exposure would really be around street sweepers, some of our multipurpose tractors, a small portion of our public safety systems, and then a portion of refuse. As we talked about in the prepared remarks, we saw strong orders in Q4 for sewer cleaners and street sweepers. Again, we feel we have baked this into our outlook, and it is really, frankly, the diversification within that publicly funded revenue stream that is important to look at with respect to the order trends.
Gregory John Burns: Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Jennifer L. Sherman for any closing remarks.
Jennifer L. Sherman: Thank you. Again, we would like to express our thanks to our shareholders, customers, employees, distributors, and dealers for their continued support. Thank you for joining us today, and we will talk to you next quarter.
Operator: This concludes today's conference. We thank you for your participation. You may disconnect your lines.